Operator: Good evening. My name is Olgere, and I will be your conference operator today. Welcome to PagSeguro Digital's Earnings Call for the Fourth Quarter of 2024. The slides presentation for today's webcast is available on PagSeguro Digital's Investor Relations website at investors.pagbank.com. Please refer to the forward-looking statement and reconciliation disclosure in this presentation and in the company's earnings release appendix. [Operator Instructions] Today's conference is being recorded and will be available on the company's IR website after the event has been concluded. I would now like to turn the call over to Gustavo Sechin, Head of IR. Please go ahead, sir.
Gustavo Sechin: Hi, everyone. I'm Gustavo Sechin, Head of Investor Relations of PagBank. I would like to welcome and thank you for joining us for our fourth quarter 2024 earnings call. Tonight, I am accompanied by Ricardo Dutra, our Principal Executive Officer; Alexandre Magnani, our CEO; and Artur Schunck, our CFO. With that, I would like to turn it over to Dutra, who will begin today's presentation. Please, Dutra.
Ricardo Dutra: Hello, everyone, and thanks for joining our fourth quarter 2024 earnings call. I begin with Slide 4, where we present our key operational and financial highlights. PagBank had another year with all-time high performance, combining growth with profitability. We ended the year with 33.2 million clients, growing 2.1 million year-over-year. The financial performance can be summarized as a robust growth in top line, meaning TPV revenues and even more accelerated growth in bottom line, meaning net income and earnings per share. As you can see in the highlighted area on the left side of the slide, our payment TPV reached a record of BRL 518 billion, an impressive 32% growth year-over-year, which you will give more color in the next session of our presentation. Our net revenues increased 18% year-over-year, reaching BRL 18.8 billion. Net income was an all-time high, BRL 2.3 billion, a 28% growth compared to 2023 with a diluted EPS on a GAAP basis, reaching BRL 6.62, growing 30% versus previous year, which reinforces our commitment to continuously create shareholder value. On the right side of the slide, our credit portfolio and funding are experienced rapid year-over-year growth further solidifying our financial strength and market position. In the solid operation and financial performance delivered boosted our return on average equity to 15.2%, a 198 basis points increase year-over-year despite our conservative capital structure. Our current quarter and year performance underscores our ability to create value and deliver robust results. We stand out as one of the very few companies in our segment that has consistently growing and achieving positive results every single quarter since our IPO. This remarkable track record has been maintained despite the changes in industry dynamics and economic cycles. Moving to Slide 5. We take a quick look on how we are able to deliver steady long-term growth despite a challenging macro environment. If you take a couple of steps back, you will remember that in the beginning of 2024, market estimates projected a year-end SELIC rate around 9% or below with a somewhat stable FX and inflation within the range determined by Brazilian Central Bank. We ended up having SELIC more than 300 basis points higher than the base case on top of change in other assumptions. Still, we were able to deliver our strongest results ever due to initiatives we have deployed throughout the year. Main initiatives are focused on: first, increasing revenues as we have successfully explored new growth verticals and advanced on repricing our projects on banking and acquiring segments; second, improve shareholder value. And here, the highlight is the execution of more than 50% of our current buyback program of $200 million launched in August 2024. And third, on the liability side, our focus on adjusting our cost structure aiming [main] at financial cost efficiency and operational leverage. 2024 is a good and a real example of our ability to adapt and perform. Despite micro uncertainties and external headwinds, we were able to outperform our guidance and balance growth and profitability. For 2025, the playbook remains the same as we intend to further explore those initiatives to navigate these next year challenges. Now I'll hand it over to Alex for the quarter highlights on the business units. Thank you.
Alexandre Magnani: Thank you, Ricardo. Hello, everyone. In this section, we'll break down the performance of our business units for the fourth quarter of 2024. But before we start diving deep into the quarterly results, it's important to outline our strategy and how we do what we do. On Slide 7, you can see that our disciplined strategy execution is key to achieve the results we have been delivering. This strategy is built from our purpose, which is to facilitate the financial lives of businesses and individuals and aligned with our strengths and DNA as reflected in our strategic goals. On the next slide, we will bring a recap on how we build our company for the long term. We offer a fully integrated ecosystem combining payments and banking with a complete set of products and features that provides unique experience to our customers. We have been able to increase client transactionality and monetization by capturing larger share of wallet and customer principality. Moving on to the next slide. We reached 33.2 million clients in 2024, adding 2.1 million clients in the last 12 months. We ended the quarter serving 17.8 million active clients, led by the strong growth in the banking business, especially among individuals backed by a robust banking platform and product offering. We were also successful in retaining our LTV client base due to our solid value proposition. As seen in previous quarters, the overall reduction in active merchants comes mainly from the nano merchant reduction. It is crucial to note that SMB active merchant base increased 11% year-over-year. Now let's take a closer look at payments on Slide 10. Here, we show that our merchant acquiring business keeps growing faster than the industry with solid growth registered in all segments. TPV reached BRL 146 billion in Q4 '24, growing 28% year-over-year with TPV per merchant growing 33% on a yearly basis. We experienced substantial growth in all segments, attributable to our relentless focus on growth and profitability. Due to the current interest rate hiking cycle in Brazil, we have implemented a strategic repricing approach since the early Q4 '24, in addition to our focus on merchants with higher cross-selling potential. We believe that early start on executing repricing was key to partially mitigate the impact from higher interest rate and also contributed to manage the impact on our product mix. PIX has also contributed to increase the penetration and accretive gross profit. Looking further by segments, MSMB TPV grew 21% year-over-year, reaching BRL 96 million in the fourth quarter of 2024. This expansion of our core segment is mainly due to the increased productivity in our hubs. In the LMEC segment, comprising larger retail merchants, e-commerce and cross-border clients, we recorded a 45% TPV growth compared to Q4 '23, reaching BRL 50 billion in volume. This growth was exceptionally strong in cards-not-present transactions, allowing us to expand market presence beyond POS. In addition, PAGS International has been an important growth vertical, focusing on profitable digital goods segments and payout opportunities through the PagBank accounts. Moving on to the banking business on Slide 11. Our strategy to deliver a seamless experience by integrated payments, banking and value-added service across multiple interfaces, significantly enhanced our customer engagement. As a result, we reached BRL 93 billion in PagBank cashing composed by PIX P2P, wire transfers, boletos and invoice collection into the PagBank accounts. Cash-in per Active Client, an important indicator of our client engagement, grew 35% year-over-year, reaching BRL 5,400 per client. The evolution of our engagement metrics is shown on the bottom left graph, which demonstrates the increasing usage of our app, as seen by the success in fostering transactionality through bill payments and PIX and the penetration of our investments and insurance products across our customer base. On Slide 12, we show our strong deposit performance and cost of funding reduction. Total deposits were up 31%, reaching BRL 36.1 billion. This increase occurs despite the ongoing initiatives to reduce cost of funding. In the current interest rate environment, minimizing funding costs becomes a paramount to secure profitability. The APY for total deposits decreased by 400 basis points compared to Q4 '23 as a result of our strategic efforts to lower average cost of funding, such as adjusting the remuneration and duration of our deposits as well as diversifying our funding source. APY for checking accounts reflect those efforts, reaching 47% of the CDI this quarter, which has helped to reduce our total cost of deposits to 90% of the CDI. Our deposits are primarily utilized to fund prepayments to merchants and our loan book. As of December, our loan to total funding ratio, which measures our total funding against our expanded credit portfolio, stood at 113%. This represents a decrease compared to last year attributed to the significant operational TPV growth in our acquiring business. On Slide 13, we highlight that our credit portfolio has been growing steadily despite the current scenario. This quarter, our total credit portfolio reached BRL 3.4 billion, a 36% year-over-year increase led by the origination of secured products, which represents 85% of our book loan. We have been able to expand our portfolio gradually in a sustainable way focusing on low-risk products. These products promote financial inclusion, education and provide important finance lines to our clients. When we consider the financial operations related to the prepayment to merchants, facilitated by our instant settlement feature on the acquiring side, our expanded credit portfolio exceeds BRL 48 billion, a 46% increase over the past 12 months. Our NPL90, on the bottom right of the slide, demonstrates the improvements on our set quality in the last 12 months, moving from 3.2% to 2.3% in the period, which is significantly below the market average. Now I turn to over to Artur for the financial highlights of the fourth quarter of 2024. Artur, please?
Artur Schunck: Thanks, Alexandre. Hello, everyone. Thank you so much for taking the time to join us today. From now on, I will present our consolidated financial results for the fourth quarter of 2024. Moving on to Slide 15. Q4 '24 total revenue and income achieved BRL 5.1 billion, representing a growth of 18% year-over-year, driven by our strong performance in both segments, as shown by Alexandre. Consolidated gross profit margin reached 38% of total revenue influenced by shifts in our client and product mix as well as higher interest rates during the quarter. Looking at the graphs on the right side, payments revenue reached BRL 4.6 billion, a 14% year-over-year growth on the back of the strong TPV expansion in the period, resulting in an increased market share. Banking revenue set a record of BRL 513 million and grew 58% year-over-year, mostly driven by interest income from the expansion of our credit portfolio, float from cash position, combined with service fees linked to our strategy of strengthening clients' engagement with higher profitability. Gross profit from our banking segment reached 69% of revenue, increasing for the fourth consecutive quarter. Moving on to the next slide. Here, we can see on a sequential basis, how the evolution of gross profit is driven by an accretive expansion on the Payment segment. The increasing penetration in new growth avenues such as large retail merchants, online and products like PIX affects client and product mix. The change in client and product mix was partially mitigated by the repricing strategy that we started to deploy in the beginning of Q4, which helped ease the impact on the increasing financial costs due to higher interest rates. On the right side of this slide, I would like to focus mainly on the results we are achieving in our banking business and its increasing contribution to our total gross profit. Banking is becoming more and more important to the company, with an impressive 80% gross profit growth compared to Q4 '23. As a percentage of total gross profit, banking segment grew from 11% in the previous year, to 18% in Q4 '24, alongside increasing margins, now 69% versus 61% a year earlier. These figures are important as they demonstrate our resilience ability to diversify revenue streams and exploration of complementary products and services. In the Slide 17, we take a closer look to our cost and expenses. Our financial discipline, which is always an important tool to balance growth and profitability, was paramount to achieve the current results. This quarter, we can see again operating leverage in comparison to previous quarter. On the cost side, transaction costs increased 19% from Q4 '23 as a result of a stronger TPV performance during the period. Financial costs increased by 30%, also linked to the growth in TPV between periods that demanded larger volumes of prepayment. On top of that, the cost was impacted by the hike of the Brazilian basic interest rate, partially mitigated by funding initiatives to diversify sources and reduce interest pay. Decrease in total losses was driven by improved fraud prevention process. Operating expenses on a quarterly basis reduced to 16.1% of total revenue and income with an increasing operating leverage of 74 basis points. This reflects our disciplined approach to cost management and the resulting efficiencies. On a sequential basis, we had lower investment on marketing and stable personnel expenses. Finally, it is important to emphasize the tax efficiencies initiatives are integral to our business strategy, and we continue to execute our plan for tax optimization. Moving on to Slide 18. As demonstrated throughout the presentation, the fourth quarter marked a significant chapter in our growth trajectory, characterized by resilient operational and financial performance. We achieved a net income of BRL 631 million on a non-GAAP basis, growing 21% versus Q4 '23 and culminating in a 28% increase for the full year 2024. Earnings per share on a diluted GAAP basis reached BRL 1.91 this last quarter, marking a 25% year-over-year increase. On an annual basis, earnings per share reached BRL 6.62 representing a 30% growth compared to the previous year. On the right side of the slide, I'm pleased to present the improvement of 200 basis points in our annual return on average equity, which increased to 15.2% from 13.2% as reported in Q4 '23. Despite a conservative capital structure, the company has been successful in delivering consistent results. On an annualized quarterly basis, our AOE reached 16.5%. Regarding our share buyback program, we maintained consistent execution throughout Q4 '24. By year-end, we repurchased BRL 784 million on common shares. As a result, we have now executed 50% of the current buyback program, which was launched in August. We remain committed to this strategy as a means of creating shareholder value. Moving on to Slide 19. Let's have a quick overview on last year's guidance. Despite macroeconomic conditions and uncertainties, we were able to outperform the top of the range of expected results for 2024 as shown. I would like to highlight our net income expansion of 28% on a non-GAAP basis, reaching an all-time high of BRL 2.3 billion. Moving on to the next slide, I bring our guidance for 2025. This year, in addition to gross profit and CapEx references, we are providing earnings per share guidance instead of net income as this metric better captures the company's commitment to creating shareholder value. We expect to grow gross profit between 7% and 11% and deliver earnings per share growth in the range of 11% to 15% as a result of our operational performance and the initiatives being implemented to mitigate macro uncertainties, especially the increase in interest rates. Capital expenditure is expected to be between BRL 2.2 billion to BRL 2.4 billion. Now let me give the word back to Alexandre for the closing remarks.
Alexandre Magnani: Thank you, Artur. Before we finish, let's turn to the next slide for our closing remarks. Overall, the results have reflected successful execution of our strategy, which focuses on strengthening our presence in our core segments while diversifying our revenue streams beyond payments. The year of 2024 present challenging macroeconomic conditions that tested our resilience and adaptability. Despite these hurdles, we were successfully navigated the complexities of the market, ensuring sustainable and consistent results. Our ability to thrive in such an environment underscores the robustness of our strategic approach and our commitment to delivering value to our stakeholders. Once again, we have demonstrated the increased relevance of banking within our overall business. This segment has achieved a remarkable year-over-year revenue growth of 34%. Finally, it's increasing relevance. Even more impressive is the nearly 50% growth in gross profit, highlighting the segment's strong performance and profitability. I should also emphasize our successful strategy in lowering our funding costs during this period to reduce financial costs, a fit made possible by a robust deposit franchise. Finally, as I mentioned earlier, this performance demonstrates our commitment to create shareholder value, one of our top priorities as we delivered a robust and sustainable EPS growth of 30% with a return on average equity close to 15.2%, combined with a conservative but solid capital structure. Now let me give the word back to the operator, and we'll start the Q&A session. Thank you.
Operator: [Operator Instructions] Our first question comes from Hasan Shirazi from Citi.
Hasan Shirazi: My question is related to your credit portfolio. We saw an increase on a yearly basis. But I would like to know if there's more appetite from your side to increase a collateralized moments from, are you expect to keep the portfolio growing in payroll loans? And also, my second question is related to the transaction activities revenue, which I believe decreased 8% year-over-year, while your TPV increased 20% or 8% for the same period would suggest a lower take rate on overall. This should be seen as impact from PIX or from the mix change?4
Ricardo Dutra: Hasan, thank you for the question. I will start with the credit portfolio question. We -- as you said, we've been growing our portfolio at a very decent pace, 36% year-over-year, with NPLs going down. So, it's a very healthy credit portfolio growing and helping us in our bottom line in the banking business unit. So -- but looking forward, our strategy here is to continue growing in secured loans faster than the market. And for the clean products or known secure products, as you ask it, we've been originating some volumes quarter-after-quarter. It is growing quarter after quarter. It's too small. But you understand that's the appropriate pace for the products that we are offering, which are working capital and overdraft for the market conditions that you have at this point. So, the idea is to keep growing the collateralized products faster than market and keep growing the non-collateralized in the pace that you think is appropriate for the current market scenario. Regarding the -- your question about TPV and the revenues. We -- to be honest with you, we don't look at the net take rate or the take rate the way you are asking and we are looking for the gross profit because the company has been changing so much in the past years or in the past quarters. Just to give -- just to remember, everyone, today, the gross profit of the company, 18% of the gross profit is coming from the banking unit. So, o look at the net take rate, it's a way that we think it's going to give us the wrong message here or we will not manage the company in an appropriate way. So, we look at the company in a more gross profit basis. So that's why we are giving the guidance in gross profit. But regarding the question, we see some change in client mix, and we've seen some PIX gaining a little bit of share. But the idea is to look at the gross profit. Artur, would you like to complement or?
Artur Schunck: Yes. It's Artur speaking, Hasan. And it's important to mention to you that we have a reclassification from revenues. As we are talking about net revenue here, we had the reclassifications of taxes between transaction activities and financial income. Transaction activities reduced 8% year-over-year, as you mentioned. However, financial income increased 51%. So you should take a look on the total revenue for the company that grew 18% year-over-year.
Operator: Our next question comes from Beatriz Abreu from Goldman Sachs.
Beatriz Abreu: I have two on my side. The first one is on your guidance. So, you've guided for very strong EPS growth this year. I was just wondering if part of that is also because of the buyback program? Or should we expect net income to grow at a similar amount? Or how much should we expect net income to grow this year? And my second question is related to TPV growth. What kind of growth are you expecting for this year? And I understand that you are not looking specifically at take rates, maximizing more for gross profit. But should we expect the transaction yield to continue falling because of mix changes? Or how should we think about that?
Ricardo Dutra: Beatriz, regarding the guidance, we -- when we calculated the EPS for 2025 to give the guidance, we're considering the same amount of shares that we had in December 31, 2024. So, we are not considering buybacks here. So regarding the EPS guidance here. TPV, as we've been seeing in the past years and in the past quarters, we've been growing faster than the industry. If you consider our TPV only in cards, we are growing more than the industry, sometimes 50% faster than the industry. And if you consider the PIX QR code, we are growing even more. So, we don't think that trend will change. We think this trend will continue in 2025. And regarding the yields, we are not giving the guidance about this but you can imagine that there is some mix change that's true. And yield could be a little bit lower, but that's not something that we are looking for, to be honest. I mean, the idea here is to look at the gross profit basis. That's the -- company has been changing so much that sometimes you look at the yield for the acquiring, but the client is leaving the money in the franchise deposits with a very lower yield. So it helps in our funding cost. As you could see, we grew 31%, our fund deposit franchise year-over-year and the cost of funding decreasing from 94% CBY to 90%, 400 bps. So that's why we are -- what we're trying to say here is that we look at the clients in a more complete way. There are some benefits that we cannot capture by looking only in the yield. So that's why we are guiding for the gross profit.
Beatriz Abreu: Got it. No, that's very clear. Just a quick follow-up on TPV growth. Do you have any estimates for industry growth this year?
Ricardo Dutra: Yes. ABECS, the association for cards in Brazil, they guided they will grow -- the expectation for 2025 is to grow between 9% and 11% in cards.
Operator: Our next question comes from Antonio Ruette from Bank of America.
Antonio Ruette: Congrats on the results. So, I have two questions on my side. So, first, if you could break down a little bit more on the expansion of TPV? So, we have particularly the LMEC segment with very robust growth. So, if you could please give some color in terms of e-commerce, cross-border and also large accounts, this would be great? And also, I have a second one on repricing. You mentioned during your speech that you started to reprice in the last quarter. And I believe this is a key part of the guidance for 2024 -- so -- 2025, sorry. So, if you could please provide some preliminary feedback on how is this going? How successful are you on repricing? And how has churn behaved? This would be great.
Ricardo Dutra: Thank you for the question, Ruette. I will start with the last one. Regarding the repricing, repricing here is a very dynamic process, and we always try to increase the price in the less sensitive way for our clients. We do consider many variables depending on the sector that our client is working, the type of clients we are talking about, if they are a small clients or a little bit larger, if they have more installments or they don't have. So there are many clusters that we have here, and then we try to make the repricing in a way that is less sensitive for our clients. We've been doing reprice. We did some repricing already in 2025, and we'll keep doing it throughout the year if we think that's necessary. As you follow the economy in Brazil, it is expected for the next meeting of Central Bank that people estimate the interest rate will increase 100 bps. So, it might be necessary for us to reprice some of our clients, and we will keep doing it throughout the year. So, we've been doing that in 2024. We already did some reprice in 2025. And if necessary, we'll keep repricing. So, it's a very dynamic process. We don't reprice all the clients at the same time. We're doing different waves, different clusters and we, if necessary, we'll keep doing this repricing. About the LMEC -- would like to give some color about the LMEC growth?
Artur Schunck: I will start here and then Alexandre can just compliant. Yes, LMEC grew 45% compared to Q4 '23, faster than other segments. We've been seeing in 2025, same train for January, but the other segments are growing I would say the gap between LMEC and other segments are smaller than what we've seen in Slide 10. So, we do expect LMEC to grow a little bit faster than the other segments. But remember that in LMEC, we do have e-commerce, which is a very profitable payments business when you think because you have online and online, you have more risk and then you can charge more. But going straight to your question, LMEC is growing faster than MSMBs.
Alexandre Magnani: Just to complement, it's part of our strategy. And now the investment we have done in the last years to boost our online payments platform in cross-border payments and also online domestic payments.
Ricardo Dutra: And pretty quick just to complement again. We -- what we're trying to say here, we drive the company to improve our profitability. That's the end goal. TPV per se, of course, it is important, but it's not in our strategic goals. TPV growth is kind of the consequence we are doing. We're going to serve the client. We're going to offer the client our payments with digital banking. We are going to offer a high CD and then TPV is going to be a consequence. We are not looking for TPV. We are not looking for market share and acquiring. We are very rational in pricing. We are driving the company to profitability.
Antonio Ruette: Yes. Thank you for that. On the TPV growth that was the question actually. I just wanted some color on how is this segment within LMEC performing? So, what has been the driver here? Is it e-commerce? Is it cross border? Is it large accounts? So, that's a follow-up on the first, on the LMEC one. And if I may follow up on the other question on repricing as well. Have you seen peers repricing as well? So other independent and also acquirers controlled by banks. That's pretty much it.
Alexandre Magnani: Okay. Regarding LMEC, the segment consisted about e-commerce, domestic e-commerce, cross-border, which is also e-commerce. An integrated business partner that we have partners for software automation and so on that integrate their solutions into our smart devices. In terms of growth, the cross-border has been growing faster than the other segments.
Ricardo Dutra: And repricing, Antonio, we are seeing some other players doing repricing as well. So as to say here, the cost of funding or the base interest rate of the economy is the raw material for everyone because at the end of the day, everyone has this cost. And if the cost goes up, so everyone should reprice or should we think they're economic. So, we do see some players increasing prices as well.
Operator: Our next question comes from Ricardo Buchpiguel from BTG Pactual.
Ricardo Buchpiguel: I also have two here on my side. So, first of all, we see that you currently have a ratio of nearly 28%, which is very high. So, if you could please talk about a little bit on a capital allocation standpoint, where we should expect this excess capital to be invested over the years? And what's a feasible capitalization ratio we should expect as a target that you have? And also related to that, when would it be like the right moment for us to see an acceleration on the credit card working capital portfolios, which would improve our ROE and also would use this excess capital? And my second question now related also to the matter of repricing. I wanted to understand how much of the boost in gross profit would come primarily from the repricing of prepayments and how much would be related to lower cost of funding on deposits, right? So, if you could talk about how important for this gross profit guidance that you have considers the lower cost of funding on deposits will also be very, very nice?
Ricardo Dutra: Ricardo, I'll start with the last one. We -- honestly I don't even have here the information about this two different parts of the P&L when you think about the repricing and the reducing cost of funding. But we are not giving this type of disclosure at this time. Of course, the P&L of a company like ours with the size that we have and the scale that we have, it is very dynamic. There are many puts and takes. And yes, of course, we will try to have the lower cost of funding possible that we may have throughout the year. And we will do the repricing, I mean, the smartest way that we can do in a way that we don't lose clients, and we don't have churn. So, it's going to be a mix of this these movements. And of course, the repricing could impact MDRs, could impact prepayment, the cost of funding may be impacted by the lower yields that we may offering our CDs and so on. So, I mean it's very dynamic, and I don't even have this type of information to give to you at this point. And Artur will talk about the capital allocation.
Artur Schunck: Ricardo, when we talk about capital allocation, we are always assessing the capital, is to that we have, managing to find the best balance for the company, not only in the current moment that we have today, but also in our long term, considering future opportunities, as you also mentioned, credit could be a good opportunity to grow in the future. Every time we're looking ahead in terms of a long, long-term view for the company and generate shareholder value. You also mentioned that we achieved 28% of Basel Index moving from 33%. So I think we did a very good job in 2024, reducing the Basel Index that we have, growing the top line 18%, earnings per share, 30%. And on top of that, in a record of buybacks. At this moment, when we see that the valuation of the company is pretty low, we prefer to use buybacks instead of dividends or the other type of capital allocation. After the allocation in our organic growth related to the CapEx for technology and purchase of POS. We believe that -- our strong balance sheet is essential for navigating in a challenging moment as we are seeing right now in the company when SELIC is going up, inflation is going up. So, we have more volatility in the market. And it's important to mention that we don't have excess of cash. We have excess of capital, 28% of Basel Index show it for us. And if I need to buyback more or dividends, et cetera, I need to go to the bank or go to the market, fund the company and then return this capital to shareholders. In a moment of uncertainties, we prefer to manage our cash flow in a more cautious way as we did in other moments like the pandemic and when the SELIC moved up in other times. And that's the most important to us, manage the cash flow for the company and guarantee that we have a good performance in the long term.
Ricardo Buchpiguel: That's very clear. And just another question that I have. You mentioned that last year, you invested a lot to improve your growth capabilities, your teams, your products, right? So I wanted to understand what should we expect for OpEx this year after those investments were made?
Artur Schunck: Well, very good question. Thanks for the opportunity to explain that it's true. We start to invest in sales force, our platform more marketing investments since Q4 '23, we accelerated that in Q1 and Q2 2024. And on that moment, we said that now we should expect operating leverage. We did that in Q3. We did that in Q4, and we are expecting to continue to having leverage on our OpEx in 2025 because we understood that all the investments that we need to support the growth of the company is done.
Operator: Our next question comes from William Barranjard from Itau BBA.
William Barranjard: My question is also regarding on cost of funding and how this could impact your guidance. So if you could go through to the levers you're thinking about this year in which you could manage to decrease even further this 90% of CDI. So what is your expectations, your goals for this year? How can this help also improve your gross profit?
Ricardo Dutra: William, thank you for the question. We are not giving this disclosure, this information about the cost of funding that we expect to have in 2025. But our guidance in Slide 20, you can see that we expect SELIC by year-end as of 15% and that's the scenario we are running our business plan for 2025, and that's what we consider as the SELIC for year-end. And from there, we manage the cost of funding. Regarding the levers, although I have not disclosed the numbers, I can give you the information about the levers. We can lower the yields that we offer in our CDs, we can take some actions here in such a way that we can decrease the cost of funding as a percentage of CDI. Of course, there is a limit for that. But there are some levers that we can manage here in order to decrease. So last year, we made some changes in the yields and part of this change helped us to go from 94% CDI to 90% CDI. And at the same time, the deposits franchise grew 31%. So it was very successful movement. Our deposit from CDIs keeps growing very, very strong and the cost of funding going down. So we -- that's part of our job here every day to look for efficiency, to look for better conditions for the company by lower cost, lower cost of funding. But I mean, the information I can give you right now is the -- it is in the guidance that by year-end, we expect SELIC to be 15%.
Artur Schunck: And on top of that, we diversified a lot of our funding sources in 2024. That today help us in better negotiations with the market, trying to mitigate additional impacts or even control the costs that we have.
Operator: Our next question comes from Renato Meloni from Autonomous Research.
Renato Meloni: Congrats on the year. So, first, it's on credit, right? So, a lot of peers have been talking about the opportunity on private payroll. So, given the focus on collateralized loans that you guys have, I wonder if you're seeing this as an opportunity for the year? And what will be the strategy here? And second, it's just a quick follow-up on the repricing strategy. And I wonder if you can share the percentage of your clients that you have already repriced? So if you should still expect some tailwind from that?
Ricardo Dutra: Renato, thank you for the question. Regarding the private payroll, the specifications or the regulation is not public yet. What we're seeing so far about this new private payroll in Brazil, it's all ideas that have been discussing with the development. So, once we have more clear how it's going to be, the -- how it's going to work really in this private payroll, we can give more color. But definitely, we think it's going to be an opportunity because is a credit with collateral. We do think that a digital experience may -- we'll make the difference here. We are, we have a lot of experience in CX and the way that we offer our app in such a way that clients can get a loan or can get a, some access to the money in a very frictionless process. So, we do think it's going to be an opportunity, but we don't have all the details at this point. Of course, the government has been giving some information to the market, but we don't have the final conditions, but we do think it's going to be an opportunity. And repricing -- we're making repricing for the majority of our clients, some of the declines that if they have the price that you have on the website, we are not increasing their prices, but the rest of the clients we've been repricing at some point. So, we don't give the disclosure about the clients. I don't know if someone here can have more information. But I would say that the majority of our clients have been repricing in the last 1 year or 1.5 years.
Renato Meloni: That's good. Perfect. And just a quick follow-up here on the payroll. You just sound a little bit skeptical that this will be rolled out in the short term. I wonder if I'm hearing that right?
Ricardo Dutra: We -- the government has been discussing -- I mean, again, it's not official, but one of the goals was to launch in the first semester of 2025. We saw some information about the May 1, some of the news that we've read this week could be earlier than that. So, but what I'm trying to say here, we don't have the final regulation, the way it's going to work, the process and so on. But definitely, we see it as an opportunity because it's credit with collateral, where digital experience may have a difference. So, it's very similar to what we've been doing in other collateralized products that we have in the portfolio already. So, but once we have more information, we'll be able to give more color to the market.
Operator: Our next question comes from Maria Guedes from Safra.
Maria Guedes: It is a follow-up on capital structure. You have already mentioned that you executed half of the buyback program. And I just wanted to confirm if the intention is to cancel those current treasury shares? And also, a follow-up, even though you mentioned the preference for holding capital at the current a certain environment within the company. If you were to conclude the current buyback program, if there is any intention in the company to launch maybe a new buyback program, especially at certain market condition and maybe continue to execute buyback in a timely manner?
Artur Schunck: I would start speaking. Thank you, Maria, for question. Regarding to cancellation of shares, we are discussed internally. At the end of the day, there is no, I would say, economic benefit on doing that because all the earnings per share, dividends or other ways to measure the economically for our shareholders is based on outstanding shares. So, the shares in our treasury are not used to do those calculations. But we are talking about it, but there is no definition yet. As soon as we have any information related to that, we communicate properly. And in terms of the second question related to the program, we executed 50% of the program until now. We expect to continue doing that in a more opportunistic way going forward. And definitely, I think the company is prepared to launch a new one when we conclude this program that is current available.
Operator: Our next question comes from Caio Santillo from UBS.
Camila Azevedo: This is Camila Azevedo from UBS. Talking, I would like to touch upon the PAGS business in Brazil. So, could you please share how is the environment right now since January with the new regulation in place? And what are the implications that we might see in terms of volumes and MDRs and revenues going forward?
Ricardo Dutra: Kamila, thank you for the question. Just before I answer your question about PAGS, just to make a clarification here. Our share in cards-not-present transactions is much, much lower than our market share. So, we see room to grow in cards-not-present transaction, meaning e-commerce and others. PAGS is a small part of this card-not-present transaction that they have in our base, and we don't see any material change since the beginning of January because we always working with the companies that were -- although they were not regulated, they were serious company, they were companies that were -- have some reputation and so on. So, the companies that we've been working since 2024, they got the license to keep working in Brazil. So, we don't see any material change. And again, this is a part of the card-not-present transaction, that is a small part of our total TPV. So, it's not -- it's, if we had an impact would be very marginal. So, the idea here is it's stick with the guidance. And in the guidance, we already have all these variables considered there. But again, it's marginal and it's a very small business.
Alexandre Magnani: And also through the regulation, as we have other strong players that will be regulated in the market, it's also an opportunity for us to keep growing this business segment.
Operator: Thank you very much. That's all the questions we have for today. I will now pass the line back to Alex Magnani, PagSeguro Digital's CEO, for his closing remarks. Go ahead, sir.
Alexandre Magnani: Thank you, everyone, for participating in our call. We look forward to see you in the next quarterly call. Thank you.
Operator: This does conclude PagSeguro Digital's conference call. We thank you for your participation, and wish you a very good evening.